Operator: Good evening, and welcome to the J.B. Hunt Transport Services, Inc. Fourth Quarter 2025 Earnings Conference Call and Webcast. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Andrew Hall, Senior Director, Finance. Please go ahead.
Andrew Hall: Good afternoon. Before I introduce the speakers, I would like to provide some disclosures regarding forward-looking statements. This call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Words such as expects, anticipates, intends, estimates, or similar expressions are intended to identify these forward-looking statements. These statements are based on J.B. Hunt Transport Services, Inc.'s current plans and expectations and involve risks and uncertainties that could cause future activities and results to be materially different from those set forth in the forward-looking statements. For more information regarding risk factors, please refer to J.B. Hunt Transport Services, Inc.'s annual report on Form 10-Ks and other reports and filings with the Securities and Exchange Commission. Now, I would like to introduce the speakers on today's call. This afternoon, I'm joined by our President and CEO, Shelley Simpson, our CFO, Brad Delco, Spencer Frazier, EVP of Sales and Marketing, our COO and President of Highway Services and Final Mile, Nick Hobbs, Brad Hicks, President of Dedicated Contract Services, and Darren Field, President of Intermodal. I'd now like to turn the call over to our CEO, Ms. Shelley Simpson, for some opening comments. Shelley?
Shelley Simpson: Thank you, Andrew, and good afternoon. We began 2025 with clear expectations. When the external environment shifted, we responded by adapting our strategy. I am proud of the agility of our team as we navigated through dynamic economic conditions while maintaining high service levels for our customers and structurally removing costs from our business. Throughout 2025, we prioritized operational excellence. Not only did we meet this goal, but we set a new benchmark for success within our organization. Our service levels and safety performance remain exceptional, and they are key differentiators for us in the industry. In the fourth quarter, we proudly celebrated our fourth driver to reach 5,000,000 safe miles, Steve Kirschbaum, and it is a reflection of the strong culture of safety at J.B. Hunt Transport Services, Inc. Alongside this, two other key priorities for 2025 were scaling into our investments and continuing to repair our margins. While we made meaningful progress in both areas, I recognize there is still more work ahead. We are laying the foundation for J.B. Hunt Transport Services, Inc.'s future, a future defined by disciplined growth and even stronger financial performance. I'll briefly address rail consolidation now that the merger application has been filed. We remain rooted in our commitment to our customers and providing excellent intermodal service and also to our shareholders to create lasting long-term value. We continue to have conversations with all Class I railroads, and those conversations are progressing. In our view, there remains a significant amount of industry risks and opportunities, and we continue to work on multiple options to ensure our customers and shareholders are well placed. We have a strong brand and service product and offer tremendous value to our rail providers given our scale, technology capabilities, and how we go to market. Our ability to deliver seamless, differentiated service across the entire North American intermodal network is a competitive advantage. As we move into 2026, the freight market feels fragile. Capacity continues to exit the truckload market, and we are testing the elasticity of supply. Regardless of the market environment, we continue to manage our business to put us in the best position for long-term growth. Let me give you a little more color on our strategy in 2026. Overall, our service levels across the business remain exceptional. The business leaders will share more, but throughout peak season, customers trusted us with more of their freight because of our service. As we grow through operational excellence, we will remain disciplined with our cost management and continue to lower our cost to serve. This will further strengthen our business model, providing capital to deploy for future growth while providing strong returns for our shareholders. Let me close with our key priorities for 2026. First, we're focused on disciplined growth through operational excellence. On the back of our operational excellence, we are playing offense and creating our own success that is not dependent on the market. Second, we will leverage our investments in our people, technology, and capacities into clear and sustainable competitive advantages for our business. We prefunded our capacity growth at the bottom of the cycle, including the purchase of Walmart's intermodal assets, positioning us to grow without needing to deploy additional capital to do so. We have invested in our people and technology, focusing on ways to improve efficiency and productivity through automation. Investing in people, technology, and capacity is core to who we are. Third, we will continue to repair our margins to drive long-term value for our shareholders. We are a disciplined growth company, and we will continue to build on the momentum we have created. With that, I'd like to turn the call over to Brad.
Brad Delco: Thanks, Shelley. Good afternoon. I'll hit on some highlights of the quarter and the year, review our capital allocation for 2025, give some views on the plan for 2026, and finish up with an update on our lowering our cost to serve initiative. Let me start with the quarter. As you've seen from our release, on a GAAP basis, revenue was down 2% year over year while operating income improved 19%. Diluted earnings per share improved 24% versus the prior year period. In the prior year quarter, we did incur pretax charges of $16 million in intangible asset impairments. After consideration of these charges, operating income increased 10% from the prior year period. Inflationary cost pressures continued to impact us in the quarter, but once again were more than offset by solid execution by our people on lowering our cost to serve and by driving efficiencies and productivity into our daily work. For fiscal year 2025, on a GAAP basis, revenue declined 1% while operating income increased 4%. Given the inflationary cost pressures in 2025 that were not fully covered with the pricing environment, these results again highlight operational excellence in managing our costs, safety, and service to our customers. On capital allocation, in 2025, we spent $575 million in capital reinvesting in our business. That is net of proceeds from the sale of our equipment. We put $923 million towards our share repurchase, the largest annual amount in our company's history, and retired almost 6.3 million shares of stock. Our balance sheet remains healthy, maintaining leverage just under our target of one time trailing twelve-month EBITDA. This aligns with our messaging around prefunding our long-term future growth and not just remaining cost disciplined, but also disciplined on how we allocate our capital. In 2026, we anticipate net CapEx to be in the range of $600 million to $800 million, largely for replacement, with expectations for success-based growth capital to support our dedicated segment. We will continue to manage our leverage to maintain an investment-grade balance sheet, support the growth of our dividend, and opportunistically repurchase shares. We do have $700 million of notes maturing on March 1 and have more than enough flexibility with our recently amended and extended credit agreement to satisfy that maturity. We committed to giving you updates on our execution of our lowering our cost to serve initiative, and I'll start by saying our execution remains solid. I'll reiterate our intent is to demonstrate our progress in our results rather than just speak to tracked savings. In the third quarter, we stated we executed over $20 million in cost savings in the quarter. In the fourth quarter, we executed over $25 million of tracked savings and are now on a run rate of over $100 million of annualized cost savings. Keep in mind, we continue to focus on productivity and efficiency gains that were not contemplated in our $100 million target as our achievement of that target was not dependent on volume growth. We continue to see benefits in the same areas of service efficiencies, balancing our networks, dynamically serving customers to meet their needs, and even more focus on discretionary spending and driving greater utilization of our assets. Let me close with a couple of things that I think are important takeaways from our results. First, despite no meaningful tailwinds from market pricing, we posted solid year-over-year earnings growth for both the quarter and the year. Second, our focus on operational excellence and discipline on cost and deployment of capital sets us up well for the future. Finally, we enter 2026 with solid momentum, both operationally and financially, and with ample capacity to deploy capital to meet our customers' needs with our scroll of services. That concludes my remarks. Now I'd like to turn it over to Spencer.
Spencer Frazier: Thank you, Brad, and good afternoon. I'll provide an update on our view of the market and share feedback we are hearing from customers. Demand in the fourth quarter aligned with expectations, and we continue to see the truckload capacity bubble deflate. As customer forecast accuracy improved throughout the year, so did our confidence we would have a solid peak season. As noted in our last call, a significant amount of early imported freight still needed to move inland, which ultimately supported a solid peak. I'm proud of how our teams met customers' seasonal demand, helping them deliver their plans. Additionally, we saw market dynamics tighten around Thanksgiving and continue through year-end, creating opportunities to leverage our culture of operational excellence and gain share. Our unique model, comprehensive service offerings, and 360 platform continue to differentiate us and position us for long-term growth. Most customers view the recent market tightening as temporary or seasonal rather than a structural shift. After several years of mixed signals and forecasting challenges, customers will only acknowledge a structural change after they feel a tighter market for a longer period of time, likely driven by some degree of both reduced capacity and stronger demand. Customers are also evolving their supply chain strategies. Many are consolidating logistics providers to do more business with fewer high-performing providers. Last year, we had our highest customer retention since 2017. Customers are also looking for the most efficient capacity solutions that meet their needs, and more sophisticated customers are planning ahead of potential market shifts. They are working with us to optimize networks and capacity strategies to leverage the right service offering at the right time to execute their business. This aligns well with the strength of our business model and our solution-based sales approach and is helping drive our share gains. Our current customer conversations focus on their 2026 outlook and initiatives and how we can strategically support their supply chain strategies and growth. They are looking forward to a more stable trade policy, a more confident consumer, and potential benefits from higher tax refunds and policy changes. Customers want logistics providers that offer scale, visibility, and consistent long-term service to bring predictability to a complex part of their business. They view us as operating from a position of strength, reinforcing our confidence in the value we can deliver in 2026 and beyond. I would now like to turn the call over to Nick.
Nick Hobbs: Thanks, Spencer, good afternoon. I'll provide an update on our safety performance across our operations, followed by an update on our final mile, truckload, and brokerage businesses. Safety remains a top priority and is a key differentiator of our value proposition in the market. I am proud to say that 2025 was our third consecutive year of record safety performance measured by DOT preventable accidents per million miles. To put some context around our performance, our DOT preventable frequency is equivalent to driving more than 5,000,000 miles between events. Our focus on safety is a key piece of driving out cost, and this record performance is a testament to our entire team and their commitment to remaining safe and secure every day. Our commitment to safety starts well before anyone begins driving a truck or executing a final mile delivery. In our final mile business, we continue to lead the industry in terms of background screening and identity verification, ensuring the person delivering the product into the home meets our rigorous standards. As final mile claims across the industry continue to rise, we are pleased to see a large customer recently announced enhanced identity verification standards, which we believe is a positive and needed step for the industry overall. Shifting to the business, overall, final mile end market demand remained soft across furniture, exercise equipment, and appliances. In our fulfillment business, we continue to see positive demand driven primarily by off-price retail channels. Going forward, we do not expect any meaningful positive change in market conditions, but remain focused on continuing to provide high levels of service to customers while being safe and secure and ensuring that our returns match the value we provide in the market. We mentioned last quarter that we anticipated losing some legacy appliance-related business in 2026. We expect this to be an approximately $90 million revenue headwind in 2026. That said, we continue to work diligently to onboard new business in this area to offset as much of this as we can. Moving to our highway businesses, overall, season demand was in line with normal seasonality led by e-commerce-related volume. On the capacity side, the truckload market became tighter beginning the week before Thanksgiving and didn't recover through the end of the year. We believe this was driven primarily by supply or tighter truckload capacity due to higher levels of regulatory enforcement. In JBT, our strong service and focus on operations led to another quarter of double-digit volume growth, our third consecutive quarter achieving that growth rate. As the truckload market tightened in the quarter, our focus on service created additional volume opportunities from customers as other carriers struggled to maintain commitments. Going forward, our focus in 2026 is disciplined growth to ensure our network remains balanced while also improving the utilization of our trailing assets through better box turns. While we will continue to execute on lowering our cost to serve, meaningful improvement in our profitability in this business will continue to be driven by our ability to price higher. I'll close with ICS. During the fourth quarter, truckload spot rates moved notably higher, which put pressure on our gross margins, especially in late November and December. This did lead to more spot opportunities, not until really late in the quarter. While lower gross profit year over year did pressure our profitability, we continue to make good progress on our controllable cost with operating costs of approximately $41 million in the quarter, our lowest since Q4 of '18. Going forward, we are encouraged by the work we have done to resize our cost structure in this business and the wins we achieved during mid-season. Our focus in 2026 is maintaining operational excellence, continuing to onboard additional volume on the platform, and remaining disciplined on our cost as we grow. With that, I'd now like to turn the call over to Brad.
Brad Hicks: Thanks, Nick, and good afternoon, everybody. I'll provide an update on our dedicated business. Starting with the results, at a high level, our full-year results highlight the resiliency of our dedicated business, which remains a standout in the industry. A year ago on our 2024 fourth quarter earnings call, I commented that we expected very modest operating income growth in 2025 in Dedicated. We had visibility to fleet losses throughout the first half of the past year, and given the nature of our business, we knew that growing operating income while shrinking the fleet would be difficult. I'm extremely proud of our dedicated team at not only addressing the expected fleet losses but also navigating unexpected customer bankruptcies during the year. Our focus on customer value delivery, efforts to lower our cost to serve, and strong safety performance allowed us to deliver flat operating income compared to 2024 results despite a lower fleet count. Looking at the fourth quarter, we sold approximately 385 trucks of new deals, bringing our full-year new truck sales to approximately 1,205 trucks. As a reminder, our annual net sales target is for 800 to 1,000 new trucks per year. While the known fleet losses disclosed two years ago caused us to fall short of this target in 2025, we have good momentum coming out of the fourth quarter, which gives us greater confidence that we will get back to this level of annual net truck growth in 2026. We continue to see considerable opportunities for future growth in our dedicated business with an addressable market of roughly $90 billion. Our sales pipeline remains strong, and we have opportunities across a diverse set of customers and industries. Our sales cycle is elongated at around eighteen months given the complex nature of these contracts and the big decisions to outsource a private fleet. We have seen this sales process extend a few additional months given the broad macroeconomic uncertainty and continued challenging freight fundamentals. While we initially anticipated resuming net fleet growth in the latter half of last year, the extended timeline for finalizing new agreements has pushed the return to fleet growth into 2026. Let me close with some thoughts on 2026. About two years ago, we spoke about having visibility to fleet losses that would play out through 2025. About a year ago, we spoke about expectations for very modest operating income growth in 2025 given those known fleet losses. Both of these comments proved to be true as the contractual nature of our dedicated business provides us clear visibility to and predictability of our performance. We also know that to see a material increase in the profit performance of this business, we must first see a wave of truck growth for about six months. As we have discussed before, we incur start-up expenses as business is onboarded, and it historically takes about six months before a new location starts contributing as expected to operating income. Our strong new truck sales in the fourth quarter and visibility to our pipeline give us confidence that the wave of new business is coming, just the timing is a little later than we had initially expected. As a result, and looking forward, we sit here today expecting only modest operating income growth in our dedicated business in 2026, with more momentum likely to roll into 2027. The confidence in our dedicated business and our strategy hasn't changed. We'll continue to execute with operational excellence, drive value for our customers through our CBD process, and continue to invest in our people to help support and accelerate our growth. With that, I'd like to turn it over to Darren.
Darren Field: Thank you, Brad, and thank you everyone for joining us this afternoon. I'd like to start by thanking the team for their hard work during peak season. We executed very well during peak season and were able to meet customer demand while at the same time remaining disciplined on our costs and continuing to execute on lowering our cost to serve. This marks our third consecutive peak season of strong execution on behalf of our customers. Similar to last quarter, I want to start with some comments regarding the potential for Class I rail consolidation. Even with the merger application now filed with the STB, similar to what we said last quarter, there are still a lot of unknowns. We continue to digest the application and had expected more intermodal-specific questions to be addressed in the merger application than there were. So we continue to plan for a wide variety of scenarios. We can speculate on hypotheticals, but let's talk about what we know. We continue to have active dialogue with all Class I railroads and believe given our position in the intermodal market that J.B. Hunt Transport Services, Inc. should be a primary participant in all discussions regarding the future of the intermodal industry. We continue to see a large opportunity to convert highway truckload shipments to intermodal and have been actively pursuing these shipments long before any merger discussion. We have offered seamless transcontinental intermodal service for decades, connecting BNSF to both Eastern railroads. Our focus remains on engaging in discussions and executing a strategy that is in the best interest of our customers and our shareholders. During the fourth quarter, demand for our intermodal service performed relatively as expected. Volumes in the quarter were down 2% year over year and by month were down 1% in October, down 3% in November, and flat in December. We faced difficult year-over-year comparisons in the fourth quarter with the freight shift in volume from the East Coast to West Coast. Given these factors, our transcontinental volumes were down 6% in the quarter while Eastern loads were up 5%. As we have communicated previously, we had a bid strategy during 2025 focused on getting better balance in our network, growing volumes, and repairing our margins with more price. And we were successful in the bid season, particularly around network balance and head haul pricing. The third quarter each year is always the first chance to see the impact of our bid strategy show up in our results. Consider it our scorecard. We believe the success of bid season combined with our efforts to lower our cost to serve were key drivers of our improved year-over-year and sequential financial performance in the quarter. As a reminder, given the cadence of our bid season, we will live with the impact of this past bid season through the first half of 2026. Going forward, our focus remains on being operationally excellent, which is being noticed by customers and driving additional opportunities in the market. I previously commented that in order for us to return to the low end of our 10% to 12% margin target range, we would need one point from cost, one point from volume, and one point from price. We have good visibility to the point in cost but have work left to do on volume and price. As we think about the 2026 bid season, our overall strategy won't change much. We will look to grow in the back hauls and continue to fill in our network, grow with customers in the right markets and lanes, and look to further repair margins by pricing to the value we create for customers. The bid season for 2026 is still in the early innings, and it would be premature to comment on rate expectations at this point. In closing, we remain confident in our industry-leading intermodal franchise and excited about the opportunities in front of us. With that, I'd like to turn it back over to the operator to open the call up for questions.
Operator: We will now begin the question and answer session. And the first question will come from Brian Ossenbeck with JPMorgan. Please go ahead.
Brian Ossenbeck: Hey, Brian. Hey, everybody. Good afternoon. Thanks for taking the questions. Maybe just start with Shelley and team, if you can just fill in some more comments on what you mean by the freight market's gradual. Of course, there's quite a lot going on right now. I don't know if that was more a comment on capacity and what we're seeing there. So you have a white paper out there that walks through the impact of what you think could come out of the market. Maybe a little bit more color around the supply side and demand side so we can understand the comments around being fragile to start here. Thank you.
Shelley Simpson: Sure. Well, okay. Thank you, Brian. So I'll start and then I'll let the team jump in from there. You know, I think you heard in Nick's comments that really since Thanksgiving, we haven't seen the supply side change as it as we finish the rest of the year. And here entering into this first part of the year, we still see some signs of that supply side being down. Along with that, from a demand perspective, you know, I would say there's a mixed reaction from our customers. I think our customers always tend to be more optimistic. We tend to be a little more realist and a little more wait and see as well. But I would say the elasticity in the supply chain from a supply perspective feels very fragile to us. It doesn't feel like a lot there, and so we've seen that in pockets. And as we've seen, even small tightening is creating bigger ripples in the market than when it has historically. I think regulations have had an impact on that. And so that's what I mean when I say fragile. Just a little bit of an uptick in demand. I don't think there's a lot of elasticity left in supply. And so that uptick in demand could create an environment that's different than what we've seen in the last several years. Having said that, we're not gonna hold our breath. Why we've said we're gonna take care of what we do and really focus on what we're good at, take market share, and be a disciplined growth company. Maybe I'll turn it over to any of those guests that want to comment.
Spencer Frazier: Yeah. Hey, Brian. Thanks for the question. You know, Shelley, you referenced some comments that Nick made. I will also do that. Really from a demand perspective. Nick, you talked about in the bid season, we're winning. We continue to win. We're winning and taking share. So are our customers. They're winning as well. And so as I think about kind of the momentum from Thanksgiving through the end of the year and also while the first two weeks don't make the year, demand is solid. Really across all of our services. And I think that's reflective of some of the work that we've done, some of the bid strategies and approach to the market we've had. Really for the prior six months. And so from that perspective, I think demand is okay, but I think it's somewhat unique to J.B. Hunt Transport Services, Inc. and our approach to the market. The other thing I want to make mention of is, you know, we talk about our customers. You know, they went through a lot last year. They've got a lot of pressure. I've used words like they're gonna believe a change when they see it. But I also want to talk about their supply chains. Their inventories are lean. Their supply chains are executing extremely well. And they've got agility to run their business to meet their sales plans. They're leaning in then to the carriers like us that can match operational plans to help them out. So I believe that's why we're taking share. It all connects back to operational excellence. And we're gonna keep running that play. And then, you know, Shelley, your point about it being fragile, I think the market is fragile. It's vulnerable to change. You know? The prediction of when that tipping point is going to occur, everybody's missed that forecast for the last several years. But our customers are aware that if a tipping point does occur, that the really the industry has been uninvestable and needs to have dramatic change when that happens. So we're going at the market, working with our customers, and just preparing for all scenarios.
Operator: The next question will come from Chris Wetherbee with Wells Fargo. Please go ahead.
Chris Wetherbee: Hey, Good afternoon, guys. Hey, Maybe we could start on the cost side, kind of obviously made some progress there, $25 million kind of at the annual run rate of around $100 million, which was the target when you laid it out previously. So I guess as we think about 2026, I know you don't want to kind of put the cart before the horse, but how do we think about the progress? What is the opportunity for you in 2026 on the cost side?
Brad Delco: Yeah. Chris, I think there was a blinker on that I sort of anticipated it. I mean, listen, my comments can tell that we've been off to a good start on this lowering our cost to serve initiative. You know, we said we and we committed. We give you guys some updates. You know, I think if you really peel back the onion on each of the segments' performance in some segments with down revenue and some segments with down volume, with, of course, knowledge of the pricing environment not being very robust in 2025, you know, I think you could probably parse out that we've been very successful executing on a lot of different cost initiatives around efficiency and productivity. And those are things that we sort of called out that we thought were not part of our lowering the cost to serve. So I think the proof is in the results that we've probably been executing above sort of what we've been stating. But it's also eating away at some of the inflationary pressure we've been feeling. Certainly on the insurance side, that continues to be a topic of discussion. Obviously, we continue to invest in our people with wages and merit. And so, as we're facing these inflationary cost pressures, what I want to call a pricing environment that's not covering inflation in order to drive the earnings improvement that we did. I mean, we're hitting on a lot of the cylinders. Going forward, I mean, I think it's fair to assume that we're going to be executing above the $100 million target. I don't think we're prepared right now to give you a number. We had some headwinds on some cost items and things that we incurred in the fourth quarter that we know won't repeat going forward. And so that gives me some confidence that we'll continue to build. I think Shelley used the word momentum. And we'll update you guys going forward at the appropriate time when we want to raise that number.
Operator: The next question will come from John Chappell with Evercore ISI. Please go ahead.
John Chappell: Thank you. Good afternoon. Darren, there's a lot of commentary about Thanksgiving to the end of the year being robust. But, you know, on the other hand, Spencer said most of your customers are viewing things as kind of temporary or seasonal. So exit rate seems better. And as we think about the timing of peak season, when would we need to see kind of this continuation of the last six weeks holding into? Is it a February event that's better than seasonal and that gives you a little bit of tailwind behind your back? Or does it have to go through kind of March and April until kind of prove the sustainability and give you a bit more bit between your teeth as you go for price?
Darren Field: Okay. Well, I think intermodal's to that question may be slightly different than parts of our highway other transactional businesses. I think intermodal's experience normal seasonality in the first quarter. Shift from the fourth quarter, a little bit of downturn from some retailers. I think that we are aligned with customers that are winning business, and we continue to be really encouraged by forecast feedback that we get from our customers and additional opportunities to grow our business and take share off the highway to Intermodal. But in terms of the seasonality of strength specifically, from peak season or kind of Christmas shopping season, you know, every year has been a little bit different over the last four or five years. As we get into February and March, I think we'd have a better opportunity to understand what's going on there. But we're encouraged by what we've seen so far in January.
Nick Hobbs: I'll just take it from the other part of the transactional bit. Other partners, Nick, so I'll talk about the ICS and truck. I think we need to see what demand is going to do as Spencer said and Darren, I think we've been taking some market share. If you look at other indexes out there, it says the market's down compared to this time last year. And yet we're gaining volume. So feel good about that. But before we talk about rates and some of that, we gotta see some consistency in the overall market. And not just our volumes. So probably a few more weeks.
Shelley Simpson: And I would say, I mean, you hear a cautious tone from us because we've had some false starts. And so there's been some things that are in our control, a lot has been outside of our control. And that's why you're hearing us be more cautionary. I think we do have encouragement the things that we're seeing, but we want to wait and see what happens. We want to finish up at least January and February and see what happens there. And, also, we want to wait and continue to get customer feedback. This is our season where we spend a lot of time with customers over the next month. We'll get a chance to hear what they're thinking. Are their forecasts changing? Does the demand set? We need demand to continue to move up. And with demand moving up, with that fragility in the supply side, I think, you know, that could be a good opportunity for us to think about things differently.
Brad Delco: Hey, John. This is Brad. I feel like I got to add here, too. I mean, clearly, we're the first out of the gate to report, and it's still early relatively early in January. I remember sitting here a year ago, we were feeling at least or seeing some signs of tightness in the market. Now the difference was, I remember a year ago, the January, we had a whole bunch of weather. So what is different is we haven't had as much of a weather disruption thus far in January, and things still feel pretty good. I think you guys should be picking up on that. I think demand is, I think we're staying solid or okay. You know, we're not saying robust. And capacity feels still pretty tight, and we're it's January 15. So let's let this settle and bake a little bit longer before we get out ahead of our skis and give any expectations of what we think that might mean for market pricing and rate.
Operator: The next question will come from Scott Group with Wolfe Research. Please go ahead.
Scott Group: Hey, Thanks. Thanks. Afternoon. So Darren, I think you said on the path to margin restoration, you feel good about the cost side and less certain at this point about volume and price. I guess, is there one side of that equation you feel better about? And I think you also said, like, there's no change in your bid strategy this year versus last year. I guess, why not? Like, it doesn't feel like you got a lot of price last year. Like, why wouldn't this be a year where you think you could be a little bit more aggressive in getting some price?
Darren Field: Well, all good. And I hope that as the year moves on, we're both talking about that pricing opportunity was in front of us. So far, we've got a number of questions as to whether or not what's gonna happen with the overall market. The early results are there, but the early part of the bid cycle is a lot of westbound business, lots of backhaul pricing going out the door. And it's competitive. I wouldn't say it's any more or less competitive than what is normal. It's just it's an environment out there that has created a world where we want to protect our backhaul business and we actually want to grow with it. So in that instance, we're utilizing our lower cost to serve as an opportunity to generate volume. And so when we talked about the idea of more of the same, more of the same just means not allowing an imbalance of our business to drive negative impacts to our margin. We have to sustain improvement in our margins. And by that, if we can utilize lower cost to serve to grow volume and continue to drive improvements from the volume, we're going to be doing that. And then meanwhile, we'll be talking to the head hauls about what a challenge it is to produce capacity in the head haul markets and look for ways that we can help solve their challenges as capacity begins to tighten. But certainly 2026, you're hearing it from us that we're a little bit hesitant to suggest that we think there's some big pricing opportunity, but we will be all quick to identify when we see the market shift in a manner that we think there is an opportunity to generate price. We're absolutely ready to try to work on that area. But we're cautious. So I'll leave it at that.
Brad Hicks: Scott, I think you'll remember two years ago, we came out of peak season feeling confident. We did push price, came out of the gate really strong, and I feel like we were the only horse in the front. And so we had to change the second half for bid because the market didn't react. So we've done that. We're going to be prudent with what the market will give us. Our customers know that we have inflation, and they know that we're not happy with our margins. Now it's just down to timing, but we're not going to wait and sit back and just let all of this season go through without testing exactly what you're saying. So more of the same means that head haul markets, we're going to continue to push and walk our customers through the cost part of that. And then fill in that home line. So do you think we had a successful bid season from that perspective? We can repeat that and then start to fund those opportunities. We can challenge the price. I think we're gonna have a successful bid season.
Operator: The next question will come from Brady Lares with Stephens. Please go ahead.
Brady Lares: Hey, Hey, great. Hey, Brad. Thanks. Thanks for taking our questions. I wanted to ask about Dedicated. You mentioned truck sales were almost 400 during the quarter, which would put you near the high end of your annual target. So when you look ahead to '26, how does the recent tighter capacity freight market impact your expectations for dedicated sales? Are you seeing any improvement in the pipeline year to date, or is it just too early?
Brad Hicks: Thanks, Brady. This is Brad Hicks. You know, great question, and I think it's probably a little too early to see the outward view. But what I would say is that, you know, the 385 in the quarter is real close to what our expectations are. We're never satisfied. It's never enough, but we're very proud of the year we had and then closing with the strongest quarter in the year should give us some momentum coming into '26. We have high expectations to grow regardless of the environment or the market conditions. It has been harder though. I mean, the last two or three years, it's been more difficult. There's been more competition. There's been a lot of inflationary costs that we've overcome. Super proud of where our margins were, industry-leading double digits. And that's not been easy. And so you think about what Darren was saying on cost to serve to over things, that's largely where our focus was throughout '25. To hang on to the great margins that we've had. I'm super excited about as we turn into 2026. The last thing I'll say is in my experience, dedicated is always kind of the last area of the supply chain still feels some of the squeeze or the pressure from our customers. You know, it works its way. First and foremost in truckload and then it finds its way in intermodal. And then there's pressure to defend and maintain and renew the business that we have. I kind of feel like maybe we're there. So that gives me optimism as we go deeper into '26. One more great data point that I didn't share in my prepared comments, we did have a record year in terms of new customer names. So new names in our portfolio. We sold 40 new brand new customers, that's not all of our sales. Some of our sales inside of twenty five were with customers we already had some business within Dedicated. The 40 new names also gives me a great promise for the work that we've done, the investments we've made, in prospecting. We certainly want suites to be larger on average than what we saw in '25. Some of that I think is representative of the macroeconomic environment that we faced. Again, 40 new names is a record for us and that even includes our pretty remarkable COVID years where we had 2,500 plus trucks of growth.
Operator: The next question will come from Rich Harnain with Deutsche Bank. Please go ahead.
Rich Harnain: Hey, Richa. Thanks, team. Hey. So, yes, I wanted to ask a little more about the cost savings and lowering your cost to serve, you've clearly done a great job on. Brad, you spoke to some big bucket items of what you're gonna attack in 2026. You know, whether it's your service efficiency, balancing your network, dynamically serving your customers, monitoring your discretionary spend. And I think you said, you know, driving utilization. But maybe you can give us some more thoughts on, like, what is what does all that mean? What are some initiatives you have in the hopper to really take that $100 million plus further? And then I'm gonna I'm gonna try on this one. You know, just, like, looking at all the efficiency and some of the tailwinds y'all spoke to that are kinda unique to you and how you've managed to do pretty well starting out in 2026 in terms of, I think, comment was in the first two weeks things feel pretty good. How should we be thinking about Q1? Typically, you see something like an 18% decline in EPS into 2026, but given some of those tailwinds, could we see something better than that? To start the year?
Brad Delco: I'll certainly take the bait and answer the first part of that question. The second part certainly sounds very guidance heavy and I remember us making some comments like that a year ago which I'm not necessarily gonna repeat. But specific to the question on lowering our cost to serve, when you turn to from a New Year twelve thirty-one to one one, what are the incremental opportunities? It's all the things that I had in my prepared remarks and you took good notes because you read them back to me. But I would say the incremental things are still driving efficiency in terms of the work we can do with our overhead and our people. We talked about scaling into our investments. Certainly, there's renewals with all sorts of different products and services that we buy. And so challenging ourselves on what are the some of the things we can do. I think we continue to make really good progress on some of our maintenance initiatives that tended to have a little bit of a longer tail before we can fully realize the full benefits of some of those. And so I think those are still some of the big buckets. But I think this is a team that has not well, they've seen a lot of success from all the work. And I think there's still a lot of motivation to go out there and challenge ourselves on what more we can do to continue to drive our costs lower. To allow us to be more competitive in the market to accelerate our growth. And I think you've heard Darren talk about it and the rest of the team. You know, we want to be a disciplined growth company, and the only way to accelerate our growth is to make sure that we can be very cost competitive and provide an excellent service. And I think staying focused on all those things should be a nice tailwind to the momentum that we've already built and hopefully leads us in a good direction generally in 2026. To your comment about fourth quarter and first quarter, I'm not going to give you a specific range, but I mean, you've been around transportation more than five minutes, you generally know first quarter is usually the toughest quarter. It's what we disclose in our filings and you know, typically, see things improve from there. So to see market tightness in the first quarter is unique, and we'll just see how what we've seen plays out the rest of the quarter.
Shelley Simpson: Let's begin. That if you look at the bigger, more strategic items that we're working on, they're not necessarily in our $100 million lowering our cost to serve. And so Nick and Stuart are really helping lead along with you, Brad, some of the work that we're reimagining. With our people and how can technology really empower our teams. And so we have one big initiative in intermodal and how we're thinking about that really from the way that order comes in all the way to completion. And we also have another big initiative in quote to cash. And I think that will give us a lot of different opportunities. You'll see some of that will even talk about that here as we progress through the year. That's just a couple of bigger ideas, but I would tell you technology. We have I think Stuart's done a nice job really rethinking what we should be doing, how we leverage our technology, how we deploy AI as part of that process. And I think that'll be something that we'll be able to talk about as the year progresses.
Operator: The next question will come from Dan Moore with Baird. Please go ahead.
Dan Moore: Good evening, everybody. Hey, guys. Appreciate the time and opportunity to ask a question here. I think maybe one of the worst kept secrets for 2026 is this general idea that we're gonna have some fairly healthy tailwinds related to tax rebate season. Estimates are kind of all over the map, anywhere from, you know, a hundred billion to as much as a hundred and sixty billion in tailwinds. Those should land between March and April and May. My question to you is, how are your customers thinking about that, preparing for that? Responding proactively to that, and then if you could remind us the percentage of the broader book of business, just kind of how it it renews from a contract standpoint as we move through the year as a percent of the total. That's it. Thank you.
Spencer Frazier: Hey, Dan, this is Spencer. You know, our customers, we talk to them about their 2020 planning. Really leading into this year. And I think you're right on the money. With their optimism about really the potential continued strength of the consumer. Think if you look back at any data from November and December, macro data reporting as well as retail sales, they had a solid year-end finish. And so as the consumer might have a little bit of a tailwind from the refunds as well as other policy changes. I know our customers are gonna be there to serve them. And have the right products that they can sell through. I do think as well again, as I said earlier, their inventories are pretty lean right now. And they're wanting to make sure they've got the right products at the right time. For every customer and to serve them through every channel. So you know, we're going to work with them to make sure we understand their forecast. That's a big thing. I do think they got a lot better last year in forecasting and also their award compliance with us. And so we're talking to them right now about how the rest of Q1 is going to shake out. And any other changes that they have as we go through the winter season into the spring lawn and garden and then obviously through the summer. So you know, we're optimistic about what the American consumer can do. And also, just want to make it one other or two other comments. I mentioned how we're winning. I want to specifically call out our cross-border Mexico business. We've had solid double-digit growth there throughout 2025. And continued momentum with our customers going into 2026. And then one other area that we don't talk about, Nick, I think you might have said it, but you know, a truck line and JBT to have three consecutive quarters of double-digit volume growth. I think that's pretty solid too. So that just gives you an example, Dan, of how we're positioning ourselves to be able to serve our customers as they're serving their customers and growing their business. Then I'll let Darren talk about the other part of the question.
Darren Field: Sure, Dan. I mean, we've said this before. This is we call it about 10% of the book implements new pricing in the fourth quarter of each year, and then the rest of the quarters are roughly even at about 30% each. Look, there's some error there. Call it plus or minus 5% in any one of those quarters, but that's a good rule of thumb and that's what we shared in the past and that's pretty close to what it lines up with year in and year out.
Shelley Simpson: And maybe one more comment, Spencer, I've heard you say the customers that are winning are more optimistic. We see them really thinking about forecast, we're working more closely with them. And I think that's what has us make these comments is the customers that are winning do feel some of those tailwinds. I think they're planning on those and like we're planning with them as a result.
Operator: The next question will come from Ken Hoexter with Bank of America. Please go ahead.
Ken Hoexter: Hey, great. Good afternoon. Big data on the market. Hey, Brett. Picture on the market, Shelley, you mentioned capacity is coming out. ICS is now adding providers back in. Obviously, you went through some theft issues that you wanted to eliminate carriers. So maybe just talk about that balance. Are we seeing that sustainably? Are you seeing that in terms of the capacity come out? And stay out as we now move into the New Year? And then just on the fragile comment, is that a comment that fragile you're leaning toward the upside? I just want to understand your fragility view on that demand commentary. Thanks.
Nick Hobbs: Yes, Ken, this is Nick. I'll talk about the carriers. We're seeing in ICS is, yeah, we did screen out a lot of carriers, did a lot of thorough put some new software and technology in. And pushed a lot out. We're starting to let some back in. After they go through further compliance. But we also changed kinda who we're going. We're going more midsize small to mid, not micro. ICS. So we've changed it. We're going after the carriers to get us more capacity. That's been the thing there. But we're clearly seeing between visa policies and immigration, capacity is definitely tighter. And, we see capacity going out particularly on the teams seeing it's really hard right now. I think that impacted the nondom impacted that more along with the reefers seem to be very tight right now. More so than others. We continue to see carriers go out. There are bankruptcies and just all kinds of things. So clearly, the carrier capacity from everything we're seeing is going out. Even though we're bringing some back in, we just did. But in both yes. In both ICS and JBT, we're seeing that across the board.
Shelley Simpson: Again, and the whole word around fragile, really is a positive. So you know, we've done this business a long time. We've all been here. Management team has been here on average twenty-five years at J.B. Hunt Transport Services, Inc. We've seen a lot of cycles. And in this cycle, when you see rejection rates with customers still hovering close to 10%, which is elevated. So you see the demand side a little better, but you see supply really still tighter than it should be. That's a fragile market for our customers. So that's in the industry. And how we want to think about how we take advantage of that. If the market is fragile, if we're having customers call us to say, this pocket is tighter than what I expected or this area. That's really what we're starting to see. That does not mean that we think it's going to be tight this whole year. It's too early for us to call any of that. We've seen a lot of false starts. We just know that there's not a lot of elasticity. We saw that in the last six weeks of the year. Where the tightness and the pockets. Look at the margins that are happening in both ICS and JBT really struggled from a gross margin percentage, and that's because of what was happening on the supply side. Customers had a little more demand and boom, that really created a better environment. Now that didn't last it has to last longer than six weeks. It has to last longer. Really, to the earlier question, like, how long does it have to last? Well, certainly for us this time it's have to last a little bit longer than it would have had to in the past. Just to make sure that we think that we're going to call it right. But it's fragile and that's in a positive way.
Operator: The next question will come from Bascome Majors with Susquehanna. Please go ahead.
Bascome Majors: Hey, good afternoon. Thanks for taking my questions. You guys have been pretty candid on customers maybe having a more optimistic view about the capacity situation and your fragile view to use your word. You know, how has the rapid escalation in the spot rates in purchase transportation calls, you know, maybe changed the way around the edges that you're approaching this year and managing your business? I mean, are there moves you're making that you wouldn't have otherwise made to maybe capture some of that on the revenue side or mitigate some of the cost on the purchase transportation side?
Nick Hobbs: Yep. Bascome, this is Nick. I'll take that. Yeah. We're absolutely we're trying to get in the spot market and play in this spot market as much as we can. So that's just a play in our playbook that we've had for many years. So we see that, we try to have the opportunity to jump in there. So we clearly all over the spot market trying to do that in our spot loads are going up. And so we're trying to take advantage of that. Particularly where we know we can cover the load and still operate it safely and on time. So, yep, we're doing that.
Spencer Frazier: Yeah. And, Bascome. I'll just talk about the revenue part of your question. You know, we've got a say new culture around here. We honor our commitments to our customers. We did that throughout the fourth quarter. And we're doing it today. And with that reputation, and again, it goes back to operational excellence, we become the go-to when tender rejections go up. When routing guides begin to fail. And we saw some of those opportunities really take place at the tail end of Q4 and they're taking place today. So from a revenue perspective, we're going to be there for our customers when others aren't. And that's part of our ability to gain share.
Nick Hobbs: And I'll just say the mini bids are active right now, and we like to participate in those and the we process a little bit better typically. And so those give us different opportunities to price differently and take advantage of the market as we see it today.
Operator: The next question will come from Ravi Shanker with Morgan Stanley. Please go ahead.
Ravi Shanker: Great. Thanks, afternoon everyone. Apologies if I missed this. But what are contract renewals running at in ICS? And also, as you look ahead to '26, hopefully, you guys are being conservative, and we do have an up cycle. How are your customers thinking about using JBT ICS to meet their incremental capacity? Needs, in an up cycle. Thank you.
Nick Hobbs: Yep. Thanks, Ravi. This is Nick. I'll take that. And I would just say that our customers, we're seeing demand across the board. You can see our volumes are clearly up. In the truck line, so customers are clearly leaning in over there on the asset side. But think if you could see under the covers a little bit in ICS, there's a lot of demand coming in there. We've had some losses earlier, in '25. We'll be lapping here before long, so you'll see tremendous growth in ICS. So they're really leaning in on both sides of that. And your first question, he wanted to give guidance on pricing, which Ravi, appreciate it, but we're not gonna comment. I mean, clearly, we're gonna get as much as we can. This goes back to even Scott's earlier question. Like, I know Darren answered that question very eloquently, but at the end of the day, we need to focus on operational excellence. We want to grow. We want to be very disciplined with our growth. We're gonna get as much pricing as the market will allow us and try to be fair and balanced in light of all the inflationary costs that we're being hit with. So but not yet ready to necessarily signal to the world what we think price what pricing is gonna do this year.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Ms. Shelley Simpson for any closing remarks.
Shelley Simpson: Thank you. As we wrap up today, I just want to highlight our progress and outlook because over the last year, our team has demonstrated agility and discipline. We have driven operational excellence, record-breaking safety, record-breaking service, and that is setting us apart. We've advanced our strategic priorities and that's positioned us for sustainable growth. And that also provides us with a competitive advantage that we think we'll get to capture here in 2026. Because our customers, they're choosing us because they trust us and they trust our reliability. Financially, we remain disciplined. We're maintaining a strong balance sheet and executing record share repurchases that's supporting shareholder value. So looking into 2026, you've heard us say our focus is on disciplined growth. When we do that, it's going to take care of us leveraging our investments and we're going to continue to repair our margins and drive shareholder value. So we're not standing by waiting for circumstances to improve. We're taking charge. We're making them better. Ourselves. Our growth isn't something that's dictated by the market. It's a direct result of our team's initiative and our drive. We're on the offense. We're creating new opportunities and defining what's possible. So I'm confident in our strategy, ability to deliver in the year ahead. Super, super, super proud of this team and the 32,000 people that are working hard every day on behalf of our customers and our shareholders, they have delivered in a really tough environment and looking forward to 2026. Thanks for joining us today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.